Christina Glenn: Good morning, and welcome to the presentation of Aker's Third Quarter Results for 2025. My name is Christina Schartum, and I'm the Head of Communications at Aker. I am joined in the studio today by our President and CEO, Oyvind Eriksen, who will walk you through the key highlights and recent developments across the portfolio. Our CFO, Svein Oskar Stoknes, will then take you through the financial results in more detail. After the presentation, we'll open up for questions. You're welcome to submit your questions at any time using the chat function. And with that, I'll hand it over to Oyvind.
Øyvind Eriksen: Thank you, Christina, and good morning, everyone. Since launching a more focused Aker at the start of 2024, we have taken clear steps to simplify the portfolio, concentrate on fewer larger companies and invest in new growth areas. This quarter shows that the strategy is bearing fruit. Net asset value increased to NOK 67.5 billion, NOK 909 per share, and our share price rose nearly 20%, clearly outperforming both the Oslo Stock Exchange Benchmark Index and the oil price. We are seeing strong contributions from both our core energy business and our newer platforms: AI infrastructure, industrial software and real estate. The portfolio is becoming more balanced and less tied to commodity cycles. That's an important shift. Year-to-date, total shareholder return is nearly 50%, including dividends. We have increased the number of companies paying upstream dividends and received NOK 5 billion so far this year. In line with our dividend policy, the Board has approved a second dividend of NOK 26.5 per share, bringing the total to NOK 53 per share or NOK 4 billion in total. The strong performance is due to a number of value-accretive developments in our portfolio like the launch of Aker Nscale 50-50 joint venture for AI factory developments in the Nordics; our subscription of a 9.3% stake in Nscale with earn-out that can bring our shareholding up to 12.2%; the expansion of our real estate platform by acquiring 7.48% of the shares in Sveafastigheter; Aker BP delivering another solid quarter, raising its full year production guidance and making the Omega Alpha Discovery, one of Norway's largest in a decade; Cognite continuing its strong commercial development with Q3 SaaS bookings growing 425% year-over-year across multiple industries and geographies; and lastly, the Philly Shipyard delisting being completed. In short, our strategy is working. We are building more focused, more resilient Aker and creating long-term value for shareholders. Let me add a bit more context on how we're putting our strategy into action. We have made steady progress in simplifying the portfolio and building new platforms for growth in shareholder value and cash dividends. We have crystallized value through several transactions and exited noncore holdings. This allows us to focus our time and capital on a smaller number of companies with strong potential for returns. At the same time, we have invested in areas where we see long-term demand and attractive cash flows, particularly AI infrastructure and real estate. I will return to both of these shortly. This summer, we established Aker Nscale, a 50-50 joint venture between Aker and Nscale dedicated to developing large-scale AI data centers in the Nordics, starting with Northern Norway. This marks a new chapter for Aker. After previous attempts to build green industries proved unviable for realizing Narvik's potential. Momentum has accelerated. We announced two landmark customer agreements. OpenAI for the Stargate Norway project and Microsoft with a USD 6.2 billion 5-year contract. Construction is underway at the first site in Kvandal Narvik, with 230 megawatts of grid capacity secured and installed. Aker Nscale is now in the queue for an additional 290 megawatts. Thus, at full build-out, Kvandal is expected to reach up to 500 megawatts in total. The JV has a total of 10 plots in the portfolio. The company is actively working to secure grid access and regulatory approvals for several of these, a process that is essential for future development. At the same time, Aker Nscale is undergoing an intensive ramp-up with organizational development and active hiring underway to support project delivery and growth. Beyond infrastructure, the ambition is to build future digital industry in Norway, not just as a host for global tech but as an active developer and partner. We are working closely with Norwegian universities and technology communities to ensure knowledge transfer, competence development and local value creation. The data centers will run on 100% renewable energy. Its approach emphasizes data sovereignty and responsible AI development, which is of utmost importance to protect security interest in the future, which will be even more digitally integrated despite higher geopolitical tension and uncertainties. To support this, the JV is delivering sovereign cloud infrastructure, enabling AI workloads to be processed securely and in full compliance with European data regulations. Aker Nscale is creating new jobs supporting local suppliers and positioning Norway as a main hub in the European AI infrastructure market. This is a strategic move that diversifies our portfolio and delivers on our commitment to build new pillars for growth. Let me walk you through the core economics of how the business model for Aker Nscale is structured and why we see this as a significant value creation opportunity. The business model is designed for scalability, high profitability and predictable cash flows. The target is an unlevered return above 12% for a 3- to 5-year contract across GPU and data center investments, exceeding Aker's required rate of return. The model is based on GPU as a Service where we enter into long-term take-or-pay contracts running for 3 to 5 years with solid counterparts. This ensures full utilization over the contract period and gives a strong visibility on cash flow. These contracts typically include significant prepayments, which supports CapEx funding and reduce risk. The GPUs are installed in stages with prepayments for each phase. This approach allows us to manage CapEx efficiently and align investments with demand. The industry benchmark for EBITDA margins is above 70%, and our project is designed to deliver at or above this level. Importantly, the GPUs are fully amortized over the contract period, limiting residual risk. Consequently, there is a significant upside in terms of residual value potential after the contract period as the hardware is fully amortized and can be repurposed or sold. The cost structure is straightforward. GPUs account for about 80% of CapEx and OpEx is low. We hedged most of the power price for the entire contract period, minimizing exposure. And most of our contracts are with investment-grade counterparties and hence, financing is also robust. The scale is impressive. Significant customer agreements so far, including the USD 6.2 contract with Microsoft, more than 62,000 NVIDIA GPUs committed, 5-year contract periods with full utilization and residual value upside. First, development are targeted for August 2026 onwards, positioning Aker's Nscale in Narvik as one of the largest and most advanced AI data center projects in Europe. In short, this investment offers an attractive combination of scale, profitability and predictability underpinned by strong counterparties and robust risk management, all key qualities to become a key driver of value for Aker moving forward. Moving on to our direct ownership in Nscale, which is another cornerstone of our strategy in AI infrastructure. Earlier this quarter, Aker subscribed for a 9.3% stake in Nscale through Europe's largest ever Series B fundraising for AI infrastructure. This which was made alongside partners like NVIDIA, Nokia and Dell is not just a financial investment, it's a strategic position in one of the fastest-growing AI hyperscalers globally. Our agreement includes an earn-out mechanism, giving us the opportunity to increase our ownership to 12.2%. On top of that, our joint venture stake can be converted into additional shares in Nscale no later than at the future IPO positioning us for further upside as the company scales. Nscale itself is a remarkable story. Founded in 2023, the company has already secured multibillion-U.S. dollar contracts with the world's largest tech companies, and is delivering some of the largest GPU developments in the world. Nscale's vertically integrated model from data centers to software orchestration and its focus on renewable energy, have made it a partner of choice for leading technology companies. The pace of growth is extraordinary, with operations expanding across Europe, North America and the Middle East. This direct ownership gives Aker a seat at the table in a rapidly expanding market, with exposure to global growth, innovation and long-term value creation. It complements our operational partnership and strengthens our ability to shape the future of AI infrastructure in Europe. So in short, our stake in Nscale is a strategic lever for growth, innovation and shareholder value. AI infrastructure is only one part of the equation. The real value comes from transforming raw industrial data into actionable intelligence, and that's where Cognite stands out. Cognite's platform built around Cognite Data Fusion and Atlas AI is purpose-built for complex industrial environments, which is a huge market with high barriers to entry. The Cognite technologies unifies and contextualize data from operational sources, IT and engineering systems breaking down silos and creating a one single source of truth. This enables customers to deploy AI at scale, automate workflows and unlock new levels of efficiency, safety and sustainability. Q3 was Cognite's strongest quarter-to-date, with SaaS bookings growing record high 425% year-over-year and Q3 annual recurring revenue, up over 34%. While this performance was exceptional, we expect growth rates to normalize again next quarter, whatever that means in a boiling hot AI market. However, Cognite's momentum is more than just numbers. What sets it apart is its ability to deliver real impact in production. The Atlas AI platform allows customers to build and deploy industrial AI agents quickly using low code tools and preconfigured templates. These agents automate complex tasks from root cause analysis to predictive maintenance and generate significant business value. Cognite's reach now spans in energy, manufacturing, utilities and renewables with strong traction across Europe, North America, Middle East and Asia. Strategic partnerships with NVIDIA, Databricks and Snowflake reinforce Cognite's position as the go-to platform for industrial AI, enabling seamless integration and real-time AI-ready data sharing. More than commercial traction, this is a strategic validation. Cognite is becoming the trusted choice for companies seeking operational excellence through AI powered by structured data and domain expertise. In sum, Cognite is scaling with discipline, executing on its strategy and building a business positioned for long-term value creation. As we build new pillars for growth, real estate is playing a more central part in Aker's strategy as an active platform for long-term value creation. We have moved from passive ownership to operational excellence with scale across three listed platforms. Starting with SBB, the Nordic's leading real estate company in social infrastructure with SEK 93.7 billion in total property value. Despite recent challenges with a complex legal and financial structure, the fundamentals remain attractive. Our ownership gives us access to a substantial asset base and long-term potential. We are focused on strengthening governance, capital structure and operational discipline to support a more resilient platform. Next, Public Property Invest or PPI. Norway's leading player in social infrastructure, managing more than NOK 16 billion in property value. PPI continues to deliver predictable returns supported by strong tenants and disciplined dividend strategy. And finally, Sveafastigheter, Sweden's largest listed company in the regulated residential market with SEK 30 billion in property value. Sveafastigheter is our latest addition further expanding our footprint and operational reach. In addition, Aker Property Group manages NOK 5 billion in unlisted assets. focused on offices, logistics and industrial properties. Across these platforms, we are managing more than NOK 100 billion in property values combined. Our role is to support, strengthen and unlock the long-term potential, building a resilient real estate platform that complements our ambitions in AI and technology. So to sum up, Aker is executing on a strategy built for resilience and long-term value creation. We are delivering with sharper focus, simplifying our portfolio, investing in new pillars like AI infrastructure, industrial software and real estate, while also maintaining our industrial backbone. Our portfolio is now more diversified, less exposed to commodity cycles and positioned to benefit from long-term growth trends. Looking ahead, we remain committed to active ownership, disciplined execution and building trust with all stakeholders. The steps we have taken this year lay a solid foundation for continued value creation, financial flexibility and strategic progress. It's worth noting that our unlisted companies and liquidity reserve, together representing substantial value are still priced at virtually 0 by the market, highlighting a disconnect we see as a long-term opportunity. Aker is well positioned to capture opportunities in a changing market, and we will continue to build on our strengths as we move forward. That concludes my part of the presentation. I will now hand it over to our CFO, Svein Oskar Stoknes.
Svein Stoknes: Thank you, Oyvind, and good morning. To begin, I will provide a brief overview of the key numbers for our listed and unlisted equity investments along with cash and other assets, followed by a more detailed discussion of our financial results. At the end of the third quarter, Aker's listed equity investments were valued at NOK 55 billion. This represented 72% of the company's total assets equivalent to NOK 743 per share. This was marginally down compared to the previous quarter and primarily due to negative value adjustments of NOK 1 billion related to Aker Solutions and NOK 0.6 billion related to Aker BP. And this was offset by a NOK 2.2 billion value increase of Aker BioMarine during the quarter. The net asset value of Aker Property Group's listed real estate investments in PPI and SBB is now also included under listed equity investments and included net of single-purpose debt. The investment in Sveafastigheter came after quarter end. Total dividends received from listed investments in the third quarter amounted to NOK 1.1 billion, with Aker BP accounting for NOK 856 million, Solstad Maritime for NOK 186 million and Akastor for NOK 35 million. Then over to Aker's unlisted equity investments, which represented 17% of Aker's total assets at the end of the quarter. These assets were valued at NOK 13 billion or NOK 179 per share. This represents an increase of NOK 0.7 billion from the previous quarter. The inclusion of Aker Holdco following the completion of the merger of Aker Horizons into Aker Holdco was the main driver of this increase. And this was partly offset by a negative value adjustment related to our investment in Gaia Salmon. Finally, cash and other assets, which represented 11% of Aker's total assets at the end of the quarter, equivalent to NOK 112 per share. Cash inflows totaled NOK 1.8 billion composed of cash dividends received from Aker BP, Solstad Maritime, Akastor and SalMar of and totaled NOK 1.1 billion in the quarter. In addition, we received a part down payment of the Aker Holdco shareholder loan of NOK 750 million. Cash outflows amounted to NOK 1.3 billion, including debt repayment of NOK 800 million and net investments and loans to portfolio companies of NOK 184 million, of which NOK 69 million to Aker Property Group. And cash outflows related to operating expenses and net interest totaled NOK 247 million for the quarter. This gave a cash balance at the end of the quarter of NOK 1.2 billion. The main components of fixed and interest-free assets are accumulated interest on receivables and NOK 0.5 billion of fixed assets. Then let's move to the third quarter financials for Aker ASA and holding companies, starting with the balance sheet. In accordance with our accounting principles, investments are recognized at the lower of historical cost and market value. At the end of the quarter, the book value of Aker's investments was NOK 28.6 billion, which represents a decrease of NOK 57 million compared to the previous quarter. This change primarily reflects negative value adjustments of our investments in Gaia Salmon and ICP of in total NOK 390 million. This decrease was partly offset by an increased book value of the investment in Aker Holdco of net NOK 233 million, in addition to a value increase of the shares in SalMar of NOK 96 million. The book value of equity at quarter end was NOK 27.6 billion, up NOK 445 million, mainly due to the profit before tax in the period. On a fair value adjusted basis, Aker's gross asset value was NOK 76.8 billion. After subtracting for liabilities, the net asset value amounted to NOK 67.5 billion or NOK 909 per share and the value-adjusted equity ratio was 88%. Of the total liabilities of NOK 9.3 billion, NOK 8.2 billion is related to bond debt and bank loans. And the noninterest-bearing liabilities includes NOK 545 million negative value on the AMSC TRS agreements. After quarter end, the TRS agreements were all settled at the end of October in connection with the liquidation of the company. Aker's financial position remains robust with a total liquidity buffer of NOK 7.8 billion, including undrawn credit facilities and liquid funds. After quarter end, our revolving credit facilities have been upped in size by NOK 2 billion, bringing the total RCFs to NOK 12 billion. Net interest-bearing debt amounted to NOK 1.7 billion at the end of the quarter, down from NOK 2 billion in the previous quarter, reflecting capital allocations made during the period and an increased cash balance at the end of the quarter. The loan-to-value ratio stood at 10%, reflecting our conservative approach to capital structure and Aker's weighted average debt maturity was 3 years. Including available options for credit and loan extensions, the overall effective loan maturity is approximately 4.1 years. Finally, moving to the income statement. Operating expenses in the third quarter were NOK 103 million. Dividend income was NOK 1.1 billion, mainly from Aker BP, Solstad Maritime and Akastor. The net value change was negative NOK 415 million, primarily due to a couple of negative value adjustments already mentioned, partially offset by gains in SalMar. Net other financial items totaled negative NOK 92 million. And finally, our profit before tax was NOK 460 million for the quarter. Thank you. That concludes today's presentation, and we will now proceed to Q&A.
Christina Glenn: Thank you. We'll now continue with the Q&A. We have received several questions, starting with the data center initiative. Oyvind, can you elaborate on the risk profile for the Aker Nscale joint venture? And maybe also say a little bit more about whether you expect Aker needing to contribute more equity capital in addition to the USD 125 million already contributed?
Øyvind Eriksen: Sure. The USD 125 million already committed and communicated relates to the Stargate Norway project. But generally speaking, it's likely that Aker will allocate more capital to AI infrastructure in the future provided that the investments will meet our investment criteria. As far as the risk profile or I would turn it around, the attractive business model is concerned. We signed a long-term take-or-pay contracts 3 to 5 years, with some of the most robust investment-grade companies in the world like Microsoft. And the contracts will typically contain significant upfront payments in order to help the financing of the CapEx-intensive developments. . Then the target is to amortize the GPUs, which accounts for 80% of the total investment during the course of the initial 5-year contract period, and to amortize 50% of the investment in the data center, the building and the infrastructure during the same initial 5-year contract period. And then it's obviously a huge opportunity to sell the GPUs and beyond the initial contract period. So that's the super profit for data center investments, which we believe will materialize but which is not a part of the initial investment decision and business case.
Christina Glenn: What is the time line for revenue generation?
Øyvind Eriksen: Well, the target is to commence operation for the Microsoft site in Narvik in August next year. And then revenues will start to stream.
Christina Glenn: Great. There has been information on the Kvandal site in Narvik. There's also a little bit of information trickling out about other sites. Can you say a little bit more about how that's progressing? Has there been any investment committed on those sites and what the status is?
Øyvind Eriksen: Well, we would like to grow the JV beyond the initial projects. And we have already dialogue with both existing customers and new customers about further data center developments, primarily in the Narvik region, but also in other parts of the Nordic region. So short term, it's about access to land and renewable power. Next step will be to negotiate customer contracts. And based on customer contracts, we will be able to make new investment decisions.
Christina Glenn: Nordics going beyond Norway.
Øyvind Eriksen: Of course, but the by far most attractive region in the world. to build data center is actually the Narvik area.
Christina Glenn: Great. Then there's a question on the IPO of the Aker Nscale joint venture. Do you want to clarify anything on that?
Øyvind Eriksen: The Aker Nscale joint venture.
Christina Glenn: It says a possible IPO of the Aker Nscale joint venture. .
Øyvind Eriksen: Yes. Well, we have no plan to IPO the JV as such. But the way the contract with Nscale is structured is that Nscale has a plan to IPO the company in a not-too-distant future, most likely in the United States. And prior to an Nscale listing, we have a right to roll up over 50% shareholding in the JV and exchange that shareholding in an additional Nscale shareholding. So the end game according to the current plan, is to end up as a significant shareholder in Nscale and with the JV consolidated 100%.
Christina Glenn: So no IPO for the joint venture?
Øyvind Eriksen: No IPO plan for the JV as such directly, but through Nscale.
Christina Glenn: On the topic of IPOs. Can you say anything about timing for Cognite, which has seen an extraordinary quarter and year?
Øyvind Eriksen: Well, I think I've been asked that question in most quarterly presentations since we established Cognite. And the answer is the same. We have no specific time line for a Cognite IPO yet. However, it's great to see that the inbound interest from investors continues to increase. So we have numerous financial and industrial players asking for shares in Cognite. So the optionality has always been high. And with the recent success, it continues to grow.
Christina Glenn: Great. There's a question from an Aker Horizons shareholder wanting to know a little bit more about the path forward for Aker Horizons.
Øyvind Eriksen: Well, you should read the announcement made by the Aker Horizons Board last week. We have no specific plans to develop and grow Horizon for the time being. The Board continues to explore different alternatives, including a liquidation of the company.
Christina Glenn: And then the last question is, if you can give some more color on the process to solve SBB's financial situation. Is there a need to contribute more capital into that company and the real estate?
Øyvind Eriksen: We are in a live dialogue with SBB both as a significant shareholder, but also as Board members. And the way Aker look upon SBB is that it is a company with great assets but a challenging balance sheet. So to fix the balance sheet of SBB is a matter of strategic importance in order to reposition the company for future growth. So I take for granted that the Board of SBB will announce the different steps to be taken when the Board has concluded the ongoing discussions. But the goal is clear, and that's to reposition SBB, strengthen the balance sheet and grow the company longer term. And we assume and expect that SBB like PPI and Sveafastigheter will be important assets in the Aker real estate portfolio going forward.
Christina Glenn: Great. Thank you. That concludes today's presentation and Q&A. If you have other questions, please don't hesitate to reach out. Thank you for following.